Operator: Good morning. My name is Natalia, and I will be your operator today. Welcome to Ecopetrol's earnings conference call, in which we will discuss the main financial and operating results of the second quarter of 2025. There will be a quest-answer session at the end of the presentation. Before we begin, it is important to mention that the comments in this call by Ecopetrol's senior management include projections of the company's future performance. These projections do not constitute any commitment as to future results nor do they take into account risks or uncertainties that could materialize. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections shared on this conference call. The call will be led by Mr. Ricardo Roa, CEO of Ecopetrol; Rafael Guzmán, Executive Vice President of Hydrocarbons; Camilo Barco, CFO; and Bayron Triana, Executive Vice President of Transition Energies. Thank you for your attention. Mr. Roa, you may begin your conference.
Ricardo Roa Barragan: Welcome to Ecopetrol Group's Second Quarter of 2025 Earnings Call. During the quarter, we maintained solid operations with improvements in upstream recovery in downstream and resilient results in the midstream segment, despite a challenging environment marked by high volatility and declining crude prices due to geopolitical tensions and third-party disruptions to the transportation system infrastructure. We reached a semester production of 751,000 barrels of oil equivalent per day. We reached a semester production of 751,000 barrels of oil equivalent per day, the highest level in a decade. This was driven by field in Colombia such as Caño Sur and CPO-09, which contributed to the highest national crude production in 4 years as well as a strong performance in the Permian Basin in the United States. We declared the commercial viability of the Lorito discovery in Meta, the most significant in the past 10 years following the recent acquisition of 45% of the CPO-09 block. Additionally, we began drilling the Papayuela well in the Caribbean offshore aimed at expanding the country's gas potential. In the midstream, volumes exceed 1 million barrels per day, supported by operational solutions that mitigate the impact of external events. We highlight the expansion of the Pozos Colorados terminal, including the completion of the country's largest tank with a capacity of 320,000 barrels and the unloading capacity increased to 550,000 barrels, enabling the reception of largest vessels. In downstream, we reached 405,000 barrels per day in throughput with full operational recovery after completing major maintenance activities. We expect to capitalize on this with improved margins in the second half of the year. In the gas segment, we completed the first long-term commercialization of important natural gas in Colombia, securing national supply through 5 years contracts. Finally, we signed the agreement to acquire Windpeshi, Ecopetrol's first wind project developed by our own located in La Guajira. This is a key step toward advancing decarbonization and reducing energy cost in our operations. In summary, Ecopetrol's operations have adapted swiftly to the environment, maintaining the positive trend seen in recent quarters. Let's move on to the next slide, please. The solid operational progress during the quarter was partially offset by the decline of the crude price. Brent fell by 22% compared to the second quarter of 2024, impacting both revenue and profits. On the commercial front, we achieved the best quarterly crude differential in the past 4 years, thanks to a diversified basket and an active marketing strategy that allow us to capture value even in a low price environment. We achieved efficiencies totaling COP 2.2 trillion, exceeding the semester's target by 27%, helping to mitigate the impact of lower prices. In terms of investments, we have committed our USD 2.5 billion so far this year, aligned with our long-term strategy. It is worth noting that we are maintaining our production target for 2025. During the quarter, we completed the full payment of dividends to our shareholders, delivering a 10% return, reaffirm our commitment to generating value and competitive returns. Regarding our optimization plan announced last quarter, we have made 80% progress in reducing costs and expenses, strengthening our financial and cash position for the year. In conclusion, this was a quarter marked by strong operations underpinned by competitive commercial decisions and by efficiencies that support the group's financial performance. Let's move on to the next slide, please. We continue to make steady progress on our TESG agenda. We expect to exceed the goal of 900 megawatts in renewable energy for sale generation by 2025, thanks to acquisition made during the quarter, which will be detailed later in the presentation. In the decarbonization, we continue to surpass our greenhouse gas emission reduction target with a reduction of 242,000 tons of CO2 equivalent comparable to average annual energy consumption emission of 190,000 households. On the social front, through the Liu of Taxes mechanisms, we completed 6 initiatives representing an investment of COP 43 billion, benefiting approximately [ 350,000 ] people across various regions of the country. Additionally, we allocated more than COP 180 billion to our sustainable territorial development portfolio, which includes social, environmental and community engagement investments. In water resource management, we use over 44 million cubic meters of it in our direct operations. This is equivalent to nearly twice the annual domestic consumption of approximately 500,000 residents of the entire Casanare department. In job creation, we facilitate over 66,000 labor engagements in the first semester through our contractor companies, reaffirming our commitment to economic development in the regions where we operate. With these achievements, we continue to strengthen our contribution to regional well-being and the country's sustainable development. I now hand over to Rafael Guzmán, who will present the results of the Hydrocarbons business line.
Rafael Ernesto Guzmán Ayala: Thank you, Ricardo. During the first half of 2025, we achieved significant progress in the upstream segment, driving forward key discoveries towards their development phase to highlight the following milestones: the commerciality declaration of the Lorito discovery in June to be covered in more detail in the next slide; the recognition by the Brazilian National Agency of Petroleum and Biofuels of the commerciality declaration for the development areas of Gato do Mato, now named Orca and South Orca on May 20, 2025. This fulfill a key milestone, enabling the start of proven reserves incorporation in 2025. In parallel, detail engineering began for the floating production unit and processing facilities, along with safety analysis and the consolidation of project teams. The serious project progress towards its development phase. Work is currently underway on the contract model for the design, construction and operation of the necessary service facilities for gas treatment. Moreover, ethnic, social and environmental feasibility activities are being carried out after obtaining the program certificate for the beach crossing granted by the National Authority for prior consultation regarding the Southern Caribbean offshore assets on June 9, 2025, we submitted a request to the ANH to assign Shell's 50% interest in the block in favor of Ecopetrol. We continue advancing on the evaluation of alternatives for executing the development. By the end of this semester, 6 out of 10 planned exploratory wells had been drilled with $156 million of investment already executed. This include the exploratory success of the Currucutu-1 well operated by GeoPark in partnership with Hocol in block Llanos-123. This well is located in the same Eastern Llanos Basin as the Toritos discovery, which reduces technical uncertainty in the block and expands its production potential to the north. The exploration campaign in block GUAOFF-0 continued with the drilling of Buena Suerte-1 well, such well did not show commercial hydrocarbon accumulation. However, the well provided valuable geological insight into play different from the one of Sirius. With additional prospectivity to be matured based on the data obtained. Drilling began in Papayuela-1 well targeting a play similar to that of Sirius. Let's move on to the next slide. The declaration of commerciality for the Lorito discovery located in the municipality of Guamal, Meta marks the combination of successful exploration process and reflects the strategic value of acquiring the 45% interest in block CPO-09 from Repsol. It represents the most significant discovery in terms of resource potential over the past decade with approximately 250 million barrels of oil in recoverable resources, including 109 million-barrel classified as certified contingent resources. This commercial milestone enables the development of 13,584 acres of area a size comparable to the Chichimene field and incorporates into production 2 wells, Tejón-1 and Guamal Profundo-1 located near the Akacias field with a combined production potential of 1,450 barrels per day. As shown on the map, its proximity to existing production and transportation infrastructure as well as the potential continuity of the reservoir nearby fields such as Akacias and Chichimene facilitates commercial production technical deviation and enables capturing of operational synergies. The development plan will be submitted to the ANH in the fourth quarter of the year. This plan will include the proposed activities, licensing requirements and necessary investment for the future progression reserves. Let's move on to the next slide. During the first half of 2025, we reached total production of 751,000 barrels of oil equivalent per day, the highest level recording since 2015, driven by the following factors, the contribution from domestic crude oil production that reached 57,000 barrels of oil per day, the highest level since 2021, driven primarily by which added 10,000 barrels per day compared to the same period last year and the acquisition of 45% interest in block CPO-09, which contributed an additional 11,000 barrels per day. Second, the drilling campaign in the Permian Basin reached a production of 106,000 barrels of oil equivalent per day for the semester, an increase of 14,000 barrels copper to the same period last year. This result reflects the optimization of completion designs and efficiency in bringing new wells online and an accelerated schedule, enabled by operational efficiencies in drilling and completions. As shown in the top right graph, in June, we were able to recover natural crude oil production that had been affected by external events and related to the operations mainly concentrated in April. This recovery was possible thanks to our experience in effective [ incident ] management and minimization of operational disruptions. During the semester, $1.4 billion were invested highlighting the expansion of water treatment capacity in Rubiales and Caño Sur, and the gradual commissioning of crude treatment capacity at the Orotoy Station, which by July had increased to 35,000 barrels. These facilities enable the operational continuity of the fields and supported production growth. Additionally, we executed 180 workovers, a 59% increase over the same period last year and 220 development wells reaching levels close to those of 2024. As part of the efficiency strategy and investment prioritization based on Brent price, total projected investment is $3.6 billion for production and $400 million for exploration for a total of $4 billion in the upstream segment. This optimization do not impact reserve incorporation or production levels, we maintain our established target of 740,000 to 750,000 barrels of oil equivalent per day for 2025. Let's move on to the next slide, please. The midstream segment delivered solid financial results with a 9% increase in EBITDA in the first half of the year compared to the same period in 2024. This demonstrates the operation's resilience in a challenging environment. In volumetric terms, transported volumes decreased by 6% compared to the second quarter of 2024 and by 4% compared to the first half of the previous year. As shown in the top left graph. This was mainly due to an increase in external events such as blockades, attacks on transportation infrastructure, hydrocarbons theft and lower crude oil production from third parties in the country. Additionally, the scheduled maintenance at the Barrancabermeja refinery impacted volumes of both crude and refined products. In response to the third-party impact on transportation infrastructure, we have implemented strategies such as the stronger operational control, leveraging technology for rapid detection repair and evacuation at affected points. These efforts were coordinated with government agencies and included the implementation of alternative evacuation routes enabling transportation of more than 7 million barrels from the Llanos north fields, near the [indiscernible] old the pipeline and the segregation of this crude from the Barrancabermeja refinery preserve its quality and properties. At the same time, the segment made decisive progress that enhance the resilience of the midstream systems with some milestones as follow. In refined products, a highlight includes storage expansion at the Pozos Colorados terminal, reaching 1.5 million barrels of storage capacity and the capacity to receive refined per vessels of up to 550,000 barrels. In crude oil pipeline capacity was increased in several systems. The Vasconia [indiscernible] was capacity was increased by 7%, enabling greater availability of domestic crude oil to the refinery. The Araguaney, Cusiana evacuation capacity was increased from 50,000 to 80,000 barrels per day, allowing faster inventory reduction from [indiscernible] fields and lowering risk of production deferrals. The sterilized operation of the Caño Sur pipeline with evacuation flows exceeding 50,000 barrels per day, which helped mitigate production deferrals and capture savings of COP 77 billion. This set of achievements demonstrate how in actual in context, the segment continues to execute a strategic project that reinforce the capacity and efficiency of Colombia's hydrocarbon transportation system. Let's move to the next slide. In the second quarter of 2025, the downstream segment showed a recovery in its financial results with a 53% increase in EBITDA compared to the same period in 2024. This was supported by an improvement in operational availability, which reached 95.8%, up from 91.2% in the first quarter of 2025. These results reflect continuous improvement in performance and operational stability at the refineries, driven by progress in the major maintenance cycle with 8 out of 10 scheduled works completed, including those of Cracking UOPII, Polyethylene 1 and Prime G units. As a result, consolidated throughput reached 413,000 barrels per day in the second quarter of the year, showing a 4% recovery compared to the first quarter of 2025, as shown in the top left graph. On a semester basis, the throughput reflected the impact of increased maintenance activity in the first quarter, showing a 5% decrease versus the same period of the previous year. In terms of integrated gross refining margin, the segment reached $12.5 per barrel, mainly driven by operational improvements that boosted availability and by better international gasoline and diesel different. This represents an increase of 37% compared to the second quarter of 2024 and 15% versus the first quarter of 2025, as illustrated in the top right chart. For the first half of 2025, the integrated gross refining margin was $11.7 per barrel, slightly below the figure for the same period in 2024, a decrease of 2%. This was due to maintenance cycle and the unexpected power outage at the Cartagena refinery, lower availability of light crude due to external lens and other market-related factors. As shown in the bottom left graph, the segment's EBITDA grew 38% compared to the first quarter of 2025 and 53% compared to the second quarter of 2024, reflecting efficient management, lower stock cost and better product differentials. However, on a semester basis, indicator was impacted by external events and the scheduled maintenance plan. Looking ahead, control projects to maintain its competitiveness through an integrated strategy based on 4 pillars: maximization of high-value products, portfolio diversification, operational efficiency, and reliability and sustainability. During the second quarter, the following key milestones were achieved in support of this sustainability plan, contributing to operation reliability progress was made on the Cartagena refinery's electrical reliability plan with 9 out of 16 plant milestones completed by June 2025. In the maximization of high-value products progress in transforming low-value bottoms supported the export of higher-quality refined products with better margins, such as the first export of IFO 380 marine fuel to the United States and a record in liquid asphalt exports from the Barrancabermeja refinery. Likewise, on July 15, the first direct export of liquid paraffin to Brazil was completed with expansion projected into other Latin America markets. Finally, on July 10, an alliance with the Civil Aviation Authority of Colombia was formalized to promote the development of sustainable aviation fuels in Colombia. Let's move on to the next slide, please. In 2025, the hydrocarbons business line continues to deliver on its integrated efficiency and competitiveness strategy, contributing COP 1 trillion by the end of the second quarter of 2025, 12% higher than the same period in 2024 as shown in the top left chart, 64% of these efficiencies had a direct impact on EBITDA through initiatives that reduced and optimized operating cost with COP 684 billion in OpEx and generated additional income of COP 668 billion. Among the implemented initiatives the following stand out: tariff optimizations in new service contracts, energy efficiency projects in operations, lower crude evacuation costs due to the start-up of the Caño Sur pipeline synergies captured in transportation system and producing assets to integrated operations, production and commercialization of higher quality, higher-margin products improved margins in refined product purchases and imports and include exports among others. In addition, new investment cost optimizations were incorporate accounting for 30% of total efficiencies, along with working capital improvements which had a positive cash flow impact of COP 108 billion achieved through inventory management and savings in financial expenses. Regarding lifting costs, it stood at $11.59 per barrel in the first half of the year, reflecting a decrease of $0.45 per barrel compared to the same period in the previous year, thus maintaining the target announced to the market as shown in the top right chart. This result was supported by a favorable exchange rate. In fact, and capture efficiencies primarily in optimization of the operation and maintenance model in nonindustrial areas reuse of materials in subscores operations, improved maintenance contract rates, efficient energy management with a gradual and structural decrease in energy intensity per barrel despite a significant increase in the total volume of fluids produced as shown in the bottom right slide. The efficiency plan allowed to double this contribution to lifting costs compared to 2024 partially mitigating the impact of inflation, higher costs associated with labor reform accelerated scheduling of subsurface and surface maintenance activities and increased treatment costs due to higher total production volumes. Meanwhile, the cost per barrel transported and the refining cash cost increased by 2% and 3%, respectively, due to lower transported volumes and reduced refining throughputs as previously explained. These increases were partially offset by efficiencies captured in each of the segments. Now I will turn it over to Bayron who will share the main milestones from the energy transition business line.
Bayron Triana Arias: Thank you Rafael. It is privilege to address you in the first earnings call as Executive Vice President of Transition Energies. I thank the Ecopetrol Group for the trust placed in me to lead this business line and to continue driving its growth. By the end of the second quarter of 2025, we are pleased to report the successful execution of the commercialization process for major gas fuels and classified natural gas in the Colombian Pacific region. Through this process, we secured a sale of 58 giga btu per day on average of gas from major fields over the next 4 years with full allocation of the offer volume prioritizing essential demand. Moreover, for the first time in our history, we assigned 60 giga btu per day of imported gas by the Colombian Pacific Coast under a 5-year long-term contract subject to present conditions. This entire volume was allocated among 18 market agents with deliveries scheduled to begin in the second semester of 2026. These achievements refer our commitment to strengthening the country's energy security and position Ecopetrol as a key player in supplying the fuel for the Energy Transition. In parallel, we continue to store alternatives to use a existing infrastructure in the Caribbean region. Our objective is to dependent facilities for the reception, storage and gasification of liquefied national gas with operations projected to be between 2026 and 2027 subject to technical and contractual requirements. Let's move on to the next slide, please. In the Energy segment, the Ecopetrol Group consumed 23.3 gigawatt hour per day of electric equivalent to 11% of the demand of the national interconnected system. This demand was met 58% through self generation and 42 to purchase from the wholesale energy market. Of this purchase, 70% were made under contracts, meaning that nearly 88% of our demand was protected against market price volatility. This storage represents an improvement compared to the same period in 2024 when coverage stood at 81%. The result stability in the unit cost of electricity supply. Regarding South generation from renewable sources, during the second half of this year, this accounted for 5.6% of the group's acuity demand. Compared to just 0.6% 5 years ago. This means we are using 9x more renewable tonnage. By the end of the semester, the Ecopetrol Group accumulated 630 megawatts in its renewable energy portfolio, in which 208 are operational, 228 corresponds to purchase in the wholesale energy market. 95 are under construction and 99 are in execution and we are on track to meet the goal of 900 megawatts by year-end. In this way, we continue to find the diversification of the group's energy metrics and reduce supply costs. By the end of the semester, we had accumulated savings of over COP 70 billion, reflecting the impact of our renewable energy stage. Additionally, we signed the framework investment agreement with AES that power purchase agreement with Statkraft and acquired 100% of the Windpeshi project. Additionally, we signed the framework investment agreement with AES. The power purchase agreement with Statkraft and acquired 100% of the Windpeshi product. All of which will further support the integration of renewable sources in the coming months. Next slide, please. Equally important, we continue to deliver positive results in energy efficiency in the first half of 2025 we achieved a cumulative optimization of 2.42 [indiscernible] details driven by initiatives such as the replacement of turbo compressors in the region, optimization of gas injection systems and enhanced operational comfort in energy-intensive assets. The energy reduction achieved because of these efficiency measures is equivalent to electricity and natural gas consumption of more 1.1 million households in Colombia, in addition, resulted in savings of over COP 53 billion and a reduction of approximately 171,000 tons of CO2 equivalent. In terms of social gas initiatives in terms of social gas initiatives, we connected more than 10 new low-income households reaffirming our commitment to Universal Energy Access and improving the quality of life for Colombian farmers. Finally, we closed the semester with a production of 161,000 barrels of oil equivalent per day of gas and LPG and an EBITDA of COP 1.5 trillion, 4.5% higher than the same period last year. With these results, we continue to demonstrate that the Ecopetrol Group's energy transition is not only possible but also profitable, sustainable and socially inclusive. I'll now pass the floor to Camilo who will present results of the transmission and road infrastructure line and the key financial milestones.
Alfonso Camilo Barco Munoz: Thank you, Bayron. During the first half of the year, the Transmission and Roads business maintained solid operational performance. The company made firm progress towards its strategic objectives and strengthen its management through the awarding and commissioning of the following projects: ISA Energía Brasil and which was awarded 7 reinforcement and improvement projects with a reference CapEx of approximately COP 187 billion, 7 reinforcement and improvements in ISA Energía Brasil network entered operation with an estimated investment of COP 232 billion. The Água Vermelha [ 4 ] project began commercial operation with an investment of COP 70 billion facilitating the integration of a new solar project in São Paulo and the Triângulo Mineiro in Colombia, is completed the renewal of the Bolivar Sabanalarga and Bolivar Termocartagena transmission line with an investment of COP 16 billion. On the financial front, 2 events partially impacted the results for the period. The first was related to the adjustments made in June to the formula for calculating the financial components of assets in Brazil's existing system basic network known as RBSE. This decision responded to the market request and had a wide industry impact. This onetime effect had the following impacts on ISA and the group's financial results, a reduction in EBITDA of approximately COP 0.6 trillion, a decrease in net income of around COP 0.1 trillion and the lower cash collections between July 2025 and July 2028. The second event to mention in regards to the provision for outstanding receivables from [ ID ] in ISA, [ Intercolombia and Transelka ], which resulted in COP 0.2 trillion impact on EBITDA and COP 0.1 trillion on net income. ISA closes the semester with solid operating results, making progress on its investment plan and remaining committed to meeting its 2025 financial targets. In addition, it continues to execute the ISA 2040 strategy with discipline, focusing on strengthening its presence across Latin America. Moreover, it continues to be a key pillar within the group's diversification strategy contributing about 17% to consolidated EBITDA. Let's move on to the next slide to review the group's financial performance in detail the results during the first half of the year reflected the group's ongoing commitment to capturing structural efficiencies across revenues, cost, expenses and CapEx. This has enabled us to maintain competitive profitability within the industry and safeguard the financial and investment targets for the year. As of June 2025, we recorded a net income of COP 4.9 trillion, representing a year-over-year decline of COP 2.5 trillion represented mainly by the following external factors -- market factors. Accounted for approximately 78% of the impact or COP 2.1 trillion, including the net effect of a $12 drop in Brent prices compared to the first half of 2024, partially offset by improved negotiated differentials and a positive impact from a higher exchange rate compared to the same period last year. Local environment, included increases of blockades in fields and disruptions to transportation infrastructure, resulting in a negative impact of COP 0.3 trillion. New taxes related to the state of emergency decree and nondeductible value-added tax on fuel imports totaling an impact of COP 0.2 trillion, adjustment to ISAs remuneration previously discussed with an impact of COP 0.1 trillion. Other net positive events contributed COP 0.2 trillion, including benefits from higher crude production increases services at ISA, lower income surtax and higher depreciation. During the same period, COP 24.4 trillion, reflecting a variation of COP 3.9 trillion compared to the first half of 2024. This variation is explained by 72% due to the previously mentioned market factors, followed by 15% attributed to the RBSE adjustment effect and 10% from the environment events. EBITDA margin remained strong at 40%, exceeding the annual target of 39%. In terms of EBITDA by segment, the exploration and production business line continue to contributing 54% of total EBITDA, including the transportation and refining segment, the contribution rises to 83%. The remaining 17% in corresponds to eases contribution, reaffirming its relevance to the group's diversification strategy. On another front, and thanks to the group's financial flexibility, we promptly activated the cash management company to ensure liquidity and support operational and financial targets without incurring incremental long-term debt even in a current price environment below the levels projected in the plan. As of June, we achieved 80% progress in the cost and expense reduction actions announced in the first quarter and defined within the committee framework with positive effects on EBITDA, cash flow, debt and CapEx. Aligned with this focus on efficiency, we reached COP 2.2 trillion in savings in the first half of 2025, of which 66% directly benefited OpEx and revenues. In the Hydrocarbon segment, we achieved COP 1.5 trillion in optimizations reflected in improvements such as reduced lifting cost energy consumption per barrel and cost per foot drilled as detailed by Rafael Guzmán. We will maintain our target to reduce lifting costs this year with a special focus on energy, maintenance and contracted services expenses, aiming to consistently stay below $12 per barrel. At the corporate level, we achieved COP 0.4 trillion in efficiencies through digitalization initiatives and demand controlling operations, while commercial management contributed COP 0.2 trillion in optimization. For the remainder of the year, we will continue advancing cost and expense reduction measures to reach the COP 1 trillion target while also pursuing efficiencies exceeding COP 5 trillion to mitigate the impact of external value. It is worth noting that the airports we are implementing this year will be reflected in the 2026 planning which is projected in a challenging price environment. Regarding performance versus peers, the Ecopetrol Group remains in quartile 2, standing out in 2 key areas: profitability, successfully mitigating the effects of the external environment on key indicators such as ROCE and EBITDA margin with results that outperformed its peers and OpEx competitiveness showing strength in indicators such as lifting cost, cost of sales per barrel and operating expense per barrel. Let's move on the next slide. In terms of cash flow, we remain focused on protecting liquidity and optimizing working capital while maintaining disciplined financial management. As of the end of June, Ecopetrol Group cash position stood at COP 13.1 trillion with a positive free cash flow of COP 3.1 trillion composed of a strong operational cash flow, driven by the early collection of the totaling COP 7.6 trillion, investment activities amounting to COP 13.1 trillion. Additionally, during the semester, Ecopetrol completed the full payment of dividends to both majority and minority shareholders totaling COP 8.8 trillion, reaffirming our commitment to generating value for our shareholders. Regarding working capital optimization efforts, we achieved 51% progress toward the COP 2 trillion target announced in the first quarter. Key measures included early collections of the 2024 tax credit compensation totaling COP 3.2 trillion and trade finance operations in subsidiaries amounting to COP 100 million. We also implemented additional measures that is strengthening cash flows such as foreign exchange hedging operations totaling $935 million helping to mitigate the impact on export-related collections. In the short term, we will continue executing foreign exchange hedging operations as well as Brent and differential hedges with the objective of protecting the cash flow projected in the financial plan. In line with these efforts, the FEPC balance was reduced to COP 2.5 trillion as of June, the lowest level since second quarter 2021. This improvement, along with monthly accrual below COP 500 billion represents a turning point in the management of these accounts receivable with a positive impact on the projected operational cash flow for the year. In the coming months, we will continue advancing in working capital optimization measures to reach the annual target of COP 2 trillion, while also strengthening the group's internal liquidity levers. Let's move on the next slide. In line with our comprehensive debt management strategy, Ecopetrol maintains a healthy level of indebtedness and a maturity profile with low refinancing risk primarily concentrated in the medium and long term. 2025 maturities include simultaneous operations and treasury loans totaling approximately $1.2 billion with a temporary effect on short-term debt levels. It is worth noting that simultaneous operations are backed by test holding in the portfolio, which will be progressively liquidated over the coming months. the next significant maturities are scheduled for 2029. As of June, the gross debt-to-EBITDA ratio stood at 2.4x within the long-term target range of below 2.5x. Excluding ISA, this ratio stands at 1.7x. Including the cash balance, net debt-to- EBITDA ratio decreases to 2.2x and to 1.6x, excluding ISA. For 2025, no increase in debt levels is expected related to the organic portfolio activities, thanks to the group's strong liquidity position. We remain focused on optimizing financial cost, both locally and internationally. Currently, a rate reduction for a local loan is being processed with the Ministry of Finance and negotiations are underway with international counterparties to achieve further reductions during the second half of the year regarding credit ratings during the second quarter of 2025, Moody's maintained the level and the stand-alone ratings at BA1 and B1, respectively. Standard & Poor's Global adjusted the global rating to BB and the stand- alone rating to BB+. Both agencies highlighted Ecopetrol strategic importance to the country, the portfolio diversification driven by ISA and the improvement in CapEx management. In the first half of the year, investments maintained a strong momentum aligned with historical levels and the targets of the annual plan, reaching $2,582 million most of the investments executed in Colombia with 62%, followed by Brazil with 17% and the United States and other countries reaching 21%. 59% of investments were allocated to strengthening energy security including profitable crude oil production, refinery operations and domestic supply. The remaining 41% was directed towards initiatives in natural gas, energy transition, sustainability, innovation, electric transmission and road infrastructure in exploration and production, $1,290 million were invested, mainly in the Meta region in assets such as Caño Sur, Rubiales, Castilla, CPO-09 and Chichimene. In Brazil, resources were focused on the development of the Orca discovery, formerly known as Gato Do Mato in refining, $171 million were allocated to ensure operational availability, while transportation saw $100 million in investments to support operational continuity. The investment portfolio remains focused on growth and future value generation, representing 86% of the total investment while 14% was directed toward ensuring operational continuity. On capital discipline front, we advanced in executing measures that allow us to capture full CapEx flexibility with a target of $500 million to protect production for the remainder of the year. As of June, we achieved 56% progress ensuring profitability and meeting operational targets. Our investment plan is designed around the price range that enable us to adapt to different scenarios, maintaining capital discipline and ensuring competitive returns. Let's move on the next slide. Regarding the value-added taxes charges on gasoline and diesel imports by the National Tax and Customs Director, DIAN, a difference in interpretation between the agency and Ecopetrol Group remains in compliance with DIAN's interpretation, Ecopetrol and have assumed the payment of value-added tax on these imports since January 2025, while simultaneously pursuing legal defense in the appropriate forums regarding charges applied for the 2022 and '24 period. A comprehensive response has been provided to all requests and appeals submitted by the authority. Which claims, including estimated interest amount to approximately COP 11 trillion for gasoline and diesel. Additionally, there is a potential claim related to diesel imports. To date, Ecopetrol and Reficar do not recognize any payment obligations related to the value-added tax from previous fiscal years and continue to defend their position to safer their interest. For 2025, the total estimated value-added tax payments across the group amount to COP 3.6 trillion, of which approximately COP 3.3 trillion is expected to be recovered through refund and deduction mechanisms. In parallel, a technical working group has been established between Ecopetrol and government entities while the administrative process for the claims and assessment is underway, with an estimated duration of 6 months. The next stage involving the legal challenge of official assessments could extend up to 5 years. DIAN, may continue with the collection process in accordance with current regulations. However, based on the analysis from external advisers, the company considers that no provision is required at this time that could impact the financial results. Finally, Ecopetrol and Reficar reaffirmed their commitment to comply with the tax and customs regulations as well as expecting decisions made within the framework of applicable law. I now hand over to the President, who will present the closing remarks. Thank you very much.
Alberto Consuegra Granger: Thank you, Camilo. I would like to close by highlighting that Ecopetrol Group continues to execute key investments and strategies aligned with this long-term vision aimed at strengthening operations and ensuring sustainability over time. This quarter's results show improvement across our main business lines compared to previous periods even in the context of high volatility on prices and security challenges in our operations, efficiency management has exceeded expectation, particularly in initiative to reduce energy construction and expand cell generation from renewable sources in line with our strategy to diversify energy metrics, operational results efficiencies and commercial management helped mitigate part of the impact of the price environment of revenues. We also maintained a clear strategy for cash management and sustainable debt levels. The group will continue to enhance its operational and strategic flexibility, constant monitoring of prices markets. The group will continue to enhance its operational and strategic flexibility with constant monitoring of prices markets and international developments, allowing us to adapt swiftly when needed. We will keep working hand in hand with the regions advancing our social and environmental commitments and contributing to the development of the territories where we operate. We remain firmly committed protecting our cash position, maintaining capital discipline and ensuring financial resilience and flexibility as announced during our first quarter earnings call. We continue to closely monitor market conditions to activate the necessary protocols to preserve the company's strength and to keep generating sustainable value for our shareholders and for the country. With that, we now open the floor for questions.
Operator: [Operator Instructions] Let's begin with 3 questions in Spanish. And then we will have 3 others in English. Please remember to choose on the interpretation, the language that you will use for your question. Otherwise, we cannot hear you. Andrés Duarte from Corficolombiana is online with the question.
Andrés Duarte Pérez: Good morning, and thank you for receiving my 2 short questions. One is on production and the other has to do with the nation. The one of production, could you please explain a bit how you reach that peak of production and your expectations for the rest of the year? And the second question has to do with the nation. This morning, I heard the presentation made for journalists. And you spoke about the milestones in terms of dividends and royalties of the company. So could you please repeat here these figures showing the dividends and royalties. And when it comes to taxes, specifying how much is in common and the others. I referred to last year and the expectation happen this year.
Juan Carlos Hurtado Parra: Good morning, Juan Carlos, I am the acting VP of Hydrocarbons. When it comes to your question on Permian, this has to do to an anticipation of the activity and the better performance of the drills regarding processes and their designs, this managed us to have a peak in the semester of 165 barrels per day, and this is based on the performance of these types of fields and that shows high peak. That's why our expectation by the end of the year with the activities that we've made so far, we expect an average production of 90 to 190 barrels day.
Camilo Barco: Andres, good morning. I am Camilo Barco, the CFO. And let me take your second question about the milestones. Indeed, yesterday and with the journalists, we spoke about the transfer made to the transfer known as government takes. And fundamentally, these consist of the 3 items that you mentioned, which are dividends, taxes, and royalties. Of these 3 items, the most important is taxes, which represents 50% of these transfers approximately, of course, every year has its particularities, the royalty is 25% and dividends, 25%. So let me take the figure of 2024 to give you figures for this particular case. In dividends, we paid COP 11 billion and royalties, a bit more than COP 9 billion and taxes about COP 20 billion. This is for a total of COP 40.4 billion transferred to the nation last year. This year, we expect to have the same proportion, 50% in taxes, which we can say as of June 2025, we paid about COP 6 billion in tax -- income tax, specifically, COP 3 billion in self withholdings and 3 in income. And as of June, in terms of transfers to the nation, we have a total of COP 23 billion and what we estimate for the rest of the year is a total amount of COP 35 billion to COP 40 billion, closer to the mean of that range of the COP 38 billion. I'm sorry. What's income tax there? Keeping in mind the expected rate -- the income tax expected this year is about COP 3 billion, which is what we have paid so far as of June. We're talking about balances of taxes in favor.
Operator: Next question from Katherine Ortiz from Davivienda.
Katherine Ortiz Sogamoso: Good morning for all of you, and thank you for this space. I'd like to ask you. Yesterday, we saw in the media that you spoke about the disinvestment of assets. Could you please expand on this topic? And if it relates also to President Petro said that Ecopetrol should sell its assets in the U.S. And if these assets are part of these investments that you plan? And if not, could you please expand this topic and the strategy of the disinvestments that Ecopetrol has.
Camilo Barco: Katherine, good morning. I am the Vice President of new businesses. Let me begin by saying that yesterday, our CEO talked about assets in Colombia, but also our company constantly and periodically evaluates all of its portfolios when it comes to assets and affiliates, and it evaluates the performance and the strategic reserves it has, given the case that we will make this investment, we will be specifically mentioning these to the market. When it comes to your question in Colombia, what we are seeing partly is how we can replicate positive experience like the one of Barrick's of last year, still seeing different assets in the fields of Colombia, and the country side of Colombia to increase investments and the activity in hydrocarbon sectors in some assets, which do not compete in our portfolio. Because of confidentiality, I cannot mention to you the assets that we're evaluating now. But I can say that we are looking at processes underway, and we have private companies in Colombia and once the processes of approval within Ecopetrol take place, we will be sharing the information with you.
Operator: We have Juan Jose Munoz from BTG
Juan Jose Muñoz: Thank you, Ricardo Camilo for your presentation. I have 2 questions. One, keeping in mind the decrease of the Brent price and the initiatives of efficiencies that you have adopted. How -- where do you expect the cash and the breakeven EBITDA will be for the upstream business? That's my first question. Second, relates to the minimums of gas productions in the past 10 years. Is this due to the natural decline of fields or lower explorations made.
Unidentified Company Representative: Jose, good morning, and thank you for your questions. To talk about the breakeven. Overall, we refer to 2 major elements in this analysis. And then we can provide real questions -- answers to your questions. Firstly, today, Ecopetrol is a group of integrated energy in which we have, as we said in the presentation, we have ISA playing a major role it's business regulated, a business that's very stable in its flows and EBITDA. And in addition to ISA we have sent, which stands out in its period because of its financial results, which are very positive and good EBITDA margins, which also because it's regulated allow us to generate certain independence in the -- from the volatility of the market prices. So when we talk about the breakeven of the group, there are particularities the breakevens, and as you said in your question, refer specifically or typically more to the activity of oil and gas and specifically to the operation and production. So I wanted to give you that first disclaimer. The second refers to something that we mentioned in the previous call, and it's 99% of our fields have breakevens below $50 per barrel, that's the second important factor when it comes to evaluating the chance of making decisions with the CapEx or investments that can hurt production and reserves. So this would only happen in an event in which the prices of crude oil are below $50. For now, we are looking at all of the investments that allow us to guarantee the production of these. And keeping in mind these 2 ideas -- let me talk about the breakeven that we've announced and disclosed to the market by Ecopetrol. It's a breakeven of about $50 per barrel that's more of net profit, the breakevens of the cash flow are directly related or defined or determined by the investment made for each.
Ricardo Roa Barragan: Hello, Juan Jose. Let me give you a brief introduction of the reality of what's happening in oil and gas in the market. Our production continues having decline the highest declining rates, that's a big reality, second reality, we have been reducing significantly our gas consumption in our processes, substituting this with clean energy in the wholesale market and that is important to keep in mind that reduce our consumption is close to 50 [ kdbs ] and also, there are gas manufacturers that have had problems to reach their nominal productions. And this is why we have lower nomination of gas. Still we are looking at the development of infrastructure for the imports and exports that we have mentioned, especially with the Buenaventura project. We are still evaluating the projects of NG Ballena and NG Coveñas for imports and exports. And also, we are evaluating with our allies like for [indiscernible], the possibility to quickly connect more volumes of gas in the Arrecifes field. There are projects in which we are looking at productions, but they are not connected to the system. But these do not -- these are not connected to the system. And this is important. So now let's give the floor to Juan Carlos who can give us an explanation of which are the additional reasons why we are reporting lower levels of production of gas.
Juan Carlos Hurtado Parra: Thank you, President. Good morning, Juan Jose. With regards to your question, there is a natural decline of the fields of gas, yes, but it's not throughout the entire territory because as we have said, there are volumes that we are expecting of SixTerra.. And there, we will have more supplies of gas for the country. In parallel to develop activities for mitigation, we have made several initiatives. There's a project that stands out to reduce the Cupiagua and this began last year, we increased the production of gas there by 14%. There's another initiative in fields where we can apply. In addition, we are carrying out explorations and developing the Florena B18, which we will reach the goal in the last quarter of this year. Another activity that where you have been developing is, for instance, [indiscernible], which has the possibility to produce gas and seek alternatives. And lastly, given the performance, especially in fields like [indiscernible] we plan to make an intervention to control water there. So we have a robust plan within our daily activities to mitigate the topics of production. No, I'm sorry, declination and to develop all the explorations that we are planning.
Operator: The next questions are in English. We remind you all please to choose in the interpretation globe, the language in which you will ask your questions. Otherwise, we cannot hear you. Bruno Montanari from Morgan Stanley.
Bruno Montanari: Two questions on my side. I understand you mentioned your breakeven level is around $50 per barrel. So if we start to see oil prices going to that level, what would be management's plan? Would you adjust the CapEx? And what would you do with the dividend? In that case, would you lower the payout closer to the 40% level or would the company consider changing the range of the dividend distribution. And then on downstream, looking at the chart you presented, do you expect the exogenous external and operating factors that pressured EBITDA in the first half of the year to be fully resolved now in the second half of 2025.
Camilo Barco: Bruno good morning. This is Camilo Barco, the CFO, and thank you for your 2 questions. Let me begin by answering your question related to the measures that we plan to take if there is a situation which the prices of crude oil are below the breakeven levels. As I said before, what's important here is that the premise of Ecopetrol is to preserve the production and reserves. And that way the additional measures taken, we will try to affect them as least as possible, especially production reserves, but as it is natural, it is true that -- and if we have a lower price range, we will have to take additional measures. When it comes to flexiblizing our investments, but most importantly, our focus is on managing higher efficiencies. And with this, I'd like to announce that we have not expected. And even we have announced that our protection measure is to manage our cash flow and measures have been taking for our efficiencies. This year, our purpose is to go beyond COP 5 trillion in efficiencies. And in this first half of the year, we have managed already more than COP 2.2 trillion. We're on the right path, and we trust that we will meet the goal set forth. So with these efficiencies, we expect to have a better breakeven and better management. And with regards to the CapEx, we will also announce the flexibilization of $500 million. And as of June, we are more -- at more than 56% of the goals that we set forth we had pending to identify $250 million for the second semester. And I can say that we are on the right path. We will meet surely the goal established. And if necessary, that if the breakevens are below, we will have to sit down and analyze additional measures to take prioritizing, of course, the production and reserves of the company. With regards to dividends, we've also announced that one of the major milestones of the year is this and thanks to the support of our majority shareholder we have been able to provide dividends to the ranges of the policy established. Our policy is to have payout ratio or a distribution of dividends of 40% to 60% of what's available. This year, we are at 59%. We do not expect changes, but we do have the firm purpose to remain within this policy. And now if any situations, extreme situation or complicated situations take place in terms of marketplace or others that can seriously hurt the results or the position of the group, we will review and make proposals on the distribution. And I'd like to say with this regard that there are several elements that have an influence on the dividend to be paid. In addition to the profit available -- of course, we have the investments plan proposed for next year, the availability of cash of the group and, of course, also the level of indebtedness. We will make the analysis of these 3 elements. And based on that, we will make a proposal to our shareholders assembly to reach levels other than those that are proposed now.
Nicolas Azcuenaga Ramirez: Good morning Bruno. With regard to your question on the expectations that we have the refineries, the major overhauls were already made early May -- late April, early May, and this shows the EBITDA that we have in those months and in July, we don't see major interventions for the second half of the year. But especially in Cartagena, we have 18 movements that we have discussed before to take the refinery from a high risk to high and in September to reach a moderate risk level because of the interventions made in this refinery. And external risks are related to the supply of light oil, crude oil, but major overhauls were made successfully in the first half of the year.
Operator: Next question is from Anne from Bank of America.
Anne Jean Milne: My first question, I think, was answered before, which was on plans and incentives to stimulate natural gas either imports or production in Colombia. My second question is regarding the current situation of gasoline and diesel prices in Colombia at the moment and how this is expected to affect the FEPC balance going forward? And are there any changes expected?
Camilo Barco: Good morning Anne. Thank you for your question. For the rest of the year, we do not expect adjustments in prices of gasoline and diesel. So far this year, we have made actions the production price. Here, we saw an increase of gasoline COP 132 per gallon and gas as well. In addition, remember, these are regulated prices and adjustments have been made by wholesalers specifically industrial burners. So this elevated the price. And at the end of the day, what this has done, is to decrease our FEPC balances because of those adjustments today, there are discussions to increase diesel for high-end vehicles. And we're looking at this, but remember, we're talking about regulated prices and probably these actions will take place early 2026.
Ricardo Roa Barragan: And our expectation -- when it comes to stabilization of the fields by the end of the first semester, we are at COP 2.5 billion. Please remember that the nation has the FEPC payments 100% of the company and that the expectation at the end of the year as our CFO say is COP 5 billion of FEPC.
Operator: Next 3 questions will be made in Spanish. That's why I would like to remind all the analysts to choose on the very bottom, the language, you will be talking to. Otherwise, we can't hear you. Next question is from Ricardo Sandoval from [ Bancolombia ].
Ricardo Andres Sandoval Carrera: Hello, good morning, and thank you for your presentation. I have 2 questions. The first is on the EBITDA margin. Because in the last 2 semesters, it has dropped 38.5%. And we're going to 39% for 2025. So I'd like to ask, do you see a second semester 2025 that's more profitable compared to the first semester of 2024 to keep this guide of 39% or have you considered to decrease the guide of the EBITDA margin this year. I'd also like to know if you could give some light -- shed some light on the profitabilities that you are showing for 2026. That's my first question. Second question is could you please simplify what you told us about discoveries in [indiscernible]? Could you please specifically tell us if these 2 discoveries would have or not an effect on the reserves of 2025 reported in February 2026. I'd like to know if these 2 concepts will affect this report or these are contingent resources. Could you share with us a figure if the reserves will be affected in the report of 2026, how many barrels, it would be great.
Camilo Barco: Ricardo, good morning. This is Camilo Barco, CFO. Thank you for your questions. Let's look at your question related to the EBITDA margin 2025. Specifically the last periods or the last days of this quarter. Indeed, we have an impact, a strong impact on the EBITDA margin, especially compared to the historicals displayed close to 6.7%, as you said, 9%. And what we should say on this matter is that in the presentation we saw how there are several elements that have an influence on the performance of that EBITDA margin one, which seems to stay in time, especially with what we're projecting for the rest of the year, and it's the most important related to prices. So a decrease of price that we saw 22%, of course, hurts significantly the EBITDA margin. And possibly, this is something that will penalize us in the second semester. The second element has to do with surroundings, especially in the first semester. In the second semester, the group of Ecopetrol has been making significant measures to preserve its infrastructure and its operation and has developed a high resiliency to respond to these types of situations. Today, we are responding in very short terms to the situations that take place, but we have to include their protests that we've seen from communities. The third element is also important with the EBITDA margin and the net profit because of our participation -- in direct participation with ISA and [indiscernible] is the adjustment made of the RBSE, which is the basic network of the existing grid. And here, we have a one-off or a situation that relates to the anticipated termination of a contract in 2014. And here, the origin of compensations were made. And of these compensations, there was an adjustment requested to recognize financially the capital cost. We hope this is just a one-off event and it will have an impact of COP 600 billion, that's a total impact, and we also saw in the cash flow, it will have a more extensive impact. But on the EBITDA, we can talk about these 3 elements, and on the net profit. Of course, the impact is lower of COP 6 billion. In addition to these factors, it's worth mentioning that there is a topic related to taxes. The tax of Catatumbo, the special contribution made to Catatumbo has an effect of COP 300 billion with a stamp tax and this could add to COP 600 billion. So with this said, our biggest effort again or what we can do is to deepen and accelerate with more efficiencies to compensate somehow the negative effect of these external issues. We trust that we will have a good effect on compensation, and we will take our EBITDA margins to levels closer to the ones we've seen historically. For 2026, of course, it all will depend on the performance of the market. But when it comes to the financial plan, that we have, we will make major efforts to under control and to maintain the inflection that we see in the performance of prices, especially for the lifting cost.
Juan Carlos Hurtado Parra: Good morning, Ricardo. This is Juan Carlos Hurtado.. When it comes to your question and to have more details with Lorito and Orca projects, Orca is a project that was sanctioned in the first quarter by the company and later, we carried out the milestone of the approval of the Brazilian authorities for the commercial component. And it gave the commercial strength or drive to this. So this allowed us to make progression to reach the reserves we need and with the specifications that we will receive at the end of the year. That's something that we have to keep in mind the Gato Mato Orca project. When it comes to the Lorito project, we began the plan -- the development plan in this area, which goes hand in hand with the assets that we have, like Acacia, Chichimene and that synergy will help us to carry out certain activities of the project. What have we been doing? We have made environmental impact studies. We've made development studies. And with that, we can ask for the licenses, the progression of the volumes initially estimated of 250, which is the opportunity we see with the progression that we need, we will carry out these analysis that I told you. And at the end of this quarter, the last quarter, of this year, we will be requesting or applying for the licenses. So by 2026, 2030, we can carry out this project. It all depends on these licenses.
Operator: We continue with Alejandra Andrad from JPMorgan.
Alejandra Andrade Carrillo: I have 2 questions. One, I see a reimbursement of tax on your cash flow in the second quarter. Could you please explain if this is a reimbursement that you are waiting for? What happened there? And second question, I understand that you are comfortable with the leverage of Ecopetrol. But looking at the consolidated, you are at the ceiling. But so -- how do you see acquisitions? Or how do you plan to handle investments and dividends again since you are at the leverage limit of your consolidated level?
Camilo Barco: Alejandro, good morning. This is Camilo Barco, CFO. On your question of taxes, indeed, in the second quarter, we have a compensation from taxes of about COP 2.2 billion. We've said that for this year, in 2025, the total balance of taxes in favor between that income and others, is COP 9.5 billion total. So what we see reflected here is the compensation and return of several sums of these taxes that exceed the capability of compensation. For this year, what we foresee is to obtain an amount of COP 6.7 billion. And specifically, with the bet that we've been paying since January, we're talking about COP 3.6 billion that we will be paying in the period, of which we can compensate or receive returns of 93%, that is COP 3.3 billion, so that's why we have that return. And the expectation is to keep increasing until we reach the COP 6.6 billion. With regards to the leverages, let me mention several things. Firstly, the operational cash flow, thanks to the timely payments of fintech this year, we collected a total from April and May, and available cash flow that's healthy, and it allows us to properly cover our operations and our organic investments. So with this, again, and as we stated in our investment plan of 2025, investments -- organic investments did not require increases or finances in addition. This has been taken place strictly. As to inorganic investments or acquisitions, we also mentioned that we had the authorization from the Board of Directors to increase financing up to COP 680 million, of which we have disbursed for the first operations, COP 500 million. And with this, we believe that we have covered enough our investments plan, inorganic investments plan, especially for the CPO-09 project. And when it comes to the assets of renewable energy recently announced, it's important to mention. Firstly, the value of these transactions this year, which incorporates the value of the tickets and this value fundamentally can be covered with the internal generation of cash flow by Ecopetrol. However, for the following acquisitions or to finance the CapEx of those projects, we are structuring alternatives for up-financing like project finance -- we already have -- and this is quite ahead. When it comes to the dividends, we can say that these will depend on the price context, it really has to do with what we determined in this cycle of planning for 2026 and the ideas, as we've said, Ecopetrol has set out to maintain its debt within the limits below 2.5x, it's EBITDA. This is a level an indicator that we have been meeting -- and we'd also like to underscore that although when it comes to gross debt versus EBITDA, this indicator is closed. It's important to say that today, the position of the cash flow is sound and stable. It allows us to have an indicator of net debt the EBITDA quite below. We're talking about less than 2.2x the total EBITDA. And if we make the analysis, excluding ISA, this will leave us to levels of debt by 1.6x the EBITDA, which is way below the range of the industry. I hope this answers all of your questions.
Operator: Next question from Andres Cardona from Citibank.
Andres Felipe Cardona Gómez: I have 3 questions. First, is top management and the Board of Directors considering that the assets at Permian continue being strategic because you've said this before. Second question, do you worry about the production of oil in Colombia, excluding the incremental of CPO-09 because for some months, we've seen some drop there. Do you expect these dynamics will continue towards the future. And my third question, there seems to be more appetite for M&As you've got a sale with upstreams, do you continue with that appetite? And today, with capital allocation, what's a bigger priority for you, dividends or the expansion -- inorganic expansion?
Ricardo Roa Barragan: Good morning Andres, this is Ricardo. For many viewpoints, we've said as top management that the project, the assets in Permian are important in terms of reserves, production. The incremental production seen in recent years and of course, the generation of barrels with profitability, the Board Directors has never discussed the valuation of this project. Of course, we are looking at all of our assets constantly. But Julian, could you give us more information about this?
Julián Fernando Lemos Valero: Thank you, President. I am Julian Lemos V, Corporate, VP of New Businesses. When it comes to Permian, I'd like to underscore that the diversification of the group, not only in businesses or acquisitions like ISA, but geographic led us to increase our position in the U.S. And today, we have that premise still valid with regards to assets, as I said before, Andres, we are seeking to drive that sector, looking at favorable experiences like the 1 we had with Parex. And that we had in Putumayo, which again allow us to maximize the activities that we make in those assets with lower capital allocation.
Juan Carlos Hurtado Parra: Good morning Andres. This is Juan Carlos Hurtado, the VP of Hydrocarbons acting. When it comes to the production of oil and crude oil, yesterday with the journalists, we said that if we compare the results of this semester, with that of 2024. We have increases. We are showing 517 barrels of crude oil versus those of the first semester of 2024. So when it comes to crude oil, we have been working strong to reach growth levels throughout the country. To the point that the production we estimate is at 527,000 by the end of the year, depending on the production that we have today of 25,000 barrels, which we expect that will reach 30,000 by the end of the year. The prior semester, if we compared. We spoke of 48,000 barrels. But today, we have peak production of 57,000 barrels, and that's for Caño Sur and the idea is to increase our efficiencies and treatments and processing to ensure a higher peak with Caño Sur. In addition, we've been working also with Rubiales with the production peak. And there, we're working to have an impact on the supplies of electrical energy. We've had recurrent failures, which have stopped us from having those higher production levels that we seek. In Castilla, Chichimene, we have also injections of water. And there, we will remain at levels -- with higher production levels of 97,000 barrels and 76,000 Chichimene has synergies with Acacia and the next developments. So when it comes to the structure of crude oil in the country, in the segment, we see increases related to the current fields and the possibilities, as we mentioned yesterday, when it comes to the commercial declaration of [indiscernible], so we can, in the future, look at different projects.
Julián Fernando Lemos Valero: Andreas, this is Julian Lemos. Let me talk about -- answer your third question, when it comes to M&A. I'd say that this activity is something that Ecopetrol has been doing recurrently for the past years, not only incorporating reserve -- inorganic reserves, as we saw with Permian and purchasing Chevron in Guajira, but also with the diversification of the business for capital like the acquisition of ISA. I don't think it's contradictory that when we manage our portfolio, we can simultaneously buy and sell upstream assets because the portfolio management should lead us to this invest in those assets where we have little growth opportunities and low materiality. And we should complement this with assets instead that can improve our profitability, and that's in the portfolio. So Camilo, let's talk about dividends, please.
Camilo Barco: Thank you, Julian. When it comes to capital allocation, let me mention that the aim is to have reserves index up 3%. And this has to do with the decisions made for capital allocation. Of course, with the very rigorous discipline of capital management with returns that are sufficient, not only to meet or cover capital costs, but also keeping in mind the risks related depending on projects and preserving, of course, the production and the reserves, but also in financial terms, prioritizing those investments that can generate immediately on a short-term basis, meaning those investments that are in operation or have the capability to contribute to the EBITDA and have short- cycle payback cycles. So these are some of the criteria that we have in mind. And somehow to this, this goes with our dividends policy, so the idea here is to remain within that policy, determined from 40% to 60% of the profit available. So that is capital allocation really shows our commitment to generate value, increase our free cash flow and to create competitive returns.
Operator: Thank you all for your answers. Thank you. There are no more questions. Now let's live questions. Let's read questions that arrived in writing. For this year, do you estimate any new investments in clean energies.
Bayron Triana Arias: Good morning. This is acting Bayron Triana, acting VP of Energy. This year, as everybody knows, we have made an investment in [indiscernible] and made investments in wind farms in La Guajira as well, the Windpeshi. And we're estimating $300 million to $400 million invested in these clean energy projects. Good morning. I'm Bayron Triana, acting VP of Energies. When it comes to investments in clean energies, we have different projects. We're talking about the wind farm of Windpeshi and we also have projects that we will begin with [ ICE ] as a partner. Overall, what you can see from these investments plus others that we're analyzing according to the reserves that we have for Ecopetrol. We talk about investments that are up from $300 million to $400 million.
Operator: Pablo Gonzalez from Energy News today asks, could you give us an estimate of the [ imports ] necessary of gasoline and diesel necessary for the rest of the year. What's the calendars that you have scheduled for the second semester?
Ricardo Roa Barragan: Good morning, Pablo. Thank you for your questions. I would like to answer this question of the imports of gasoline diesel. And I'll ask my colleague to complement me. From January to this date, we've imported 74,000 barrels of gasoline -- regular gasoline. We track about [indiscernible] barrels a day or $3.2 million. The expectation is that the idea is to reduce these imports to 43,000 barrels a day of regular gasoline and 8,000 barrels of diesel. As I said before, leaving behind the main -- the overhauls [indiscernible] and operational challenges, we can reach those levels. Felipe, could you give us a hand here?
Felipe Bayon Pardo: Thank Julio. With regards to the stoppages, the news given is that we have no further significant stops scheduled for the second half of the year. In our principal units. However, we have minor at the hydrogen and paraffin treatment plants and the refinery of Cartagena. We have a plant that makes phenolic water treatment will be stopping and also for acoustic water treatments but major overhauls for the second semester are not scheduled that can hurt our balance sheet, no.
Operator: Next question from [indiscernible]. He asks, what does it mean for the Sirius project that the Buena Suerte-1 project did not make any statements. Is there a change of expectation over Sirius in terms of time and size.
Ricardo Roa Barragan: Good morning, Nelson, this is Ricardo Hurtado. With regards to Buena Suerte drill, there are no consequences regarding Sirius. Why? Because Buena Suerte is something very different within this project. And it had other geological objectives with no hydrocarbon was really determined, which led us to have a better coverage and to advance with other drills, exploratory drills. So right now, that's why we're more with the Papayuela. When it comes to Sirius, we have a schedule and given to Sirius 2. We made the tests and we've advanced in the time line with the prior consultations to advance within the timetable for 2029, 2030. Thank you.
Operator: There are no further questions. Now let's listen to Camilo Barco, our CFO for final remarks.
Camilo Barco: Thank you, all of you that have joined us today and that participated in this call. And thank you for those that have been interested in joining us as you have and supporting Ecopetrol. Here, we will continue working constantly to consolidate our fundamentals, the traditional business of hydrocarbons and our purpose to move on to clean energies and efficient energies. We are committed to our promise to create value for all of our stakeholders committed to our efficiencies, so we can compensate up to where it's possible the challenging setting of market prices and to be able to stabilize and counteract the costs, the lifting costs and operation costs in terms of efficiency and competitiveness. So again, thank you. We will continue working and giving sustainability and continuity to what we've done so far, and we wish you a great day.
Operator: Thank you all. With this, we end our conference call of the second quarter of 2025. Thank you for your participation. You may hang up.